Operator: Thank you for standing by. At this time, I would like to welcome everyone to today's Genius Sports Third Quarter 2025 Earnings Results Call. [Operator Instructions] I would now like to turn the call over to Genius Sports. The floor is yours.
Brandon Bukstel: Thank you, and good morning. Before we begin, we'd like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our annual report on Form 20-F filed with the SEC on March 14, 2025. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius' operating performance. These measures should not be considered in isolation or as a substitute for Genius' financial results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S. GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at investors.geniusports.com. With that, I'll now turn the call to our CEO, Mark Locke.
Mark Locke: Good morning, everyone and thank you for joining us today to discuss our Q3 results. We will keep our prepared remarks relatively brief this morning as we look forward to hosting many of you at our upcoming Investor Day next month. There, we will share with you a detailed overview of our business, product demonstrations, industry trends and our strategic and financial outlook. With that in mind, I will quickly touch on the key highlights from this quarter. First, we increased our group revenue by 38% year-on-year, making our strongest quarter of revenue growth since Q1 2022. This was led by our Media segment, up nearly 90% year-on-year, further validating our investment and excitement in the space. We also increased our group adjusted EBITDA by 32% year-on-year to $34 million, representing a 20% margin. Both Betting and Media contributed meaningfully to our revenue growth this quarter. I'll touch quickly on Betting to start. Betting revenue increased 28% year-on-year, predominantly driven by growth with existing customers and there are a few specifics that are worth highlighting. First, we secured the exclusive rights to the European Leagues and Serie A this quarter, further strengthening our existing portfolio of the highest quality football content globally. With our scale and distribution across hundreds of the world's largest regulated betting operators, we were able to generate immediate revenue uplift in this quarter through this additional content. Additionally, we announced the expansion of our partnership with Hard Rock Bet this quarter. As part of our renewal, we are now providing Hard Rock with additional content and live trading services across the Premier League, Serie A, European Leagues, NFL and more. Hard Rock is also now the latest Sportsbook partner to utilize our BetVision product across Serie A, NFL and over 23,000 other live betting streams. Our Hard Rock relationship is another example of how our picks and shovels positioning in the U.S. betting market enables our revenue growth to outpace others in the ecosystem. Whether it is in a state like Florida or through a competing product, our portfolio of data and advanced product set is essential to the success for all operators and we are confident this positioning will afford continued opportunities in an ever-changing and evolving industry. We've also expanded our partnership with ESPN BET this quarter, which now, for the first time, includes BetVision, not just for NFL, but for our full suite of soccer and basketball content as well. And finally, we have seen positive in-play betting trends to start the NFL season. Through the first 6 weeks of the season, in-play represented 30% of total NFL handle, right in line with our expectations. We are encouraged by the continued growth of in-play betting and expect this will continue to drive betting revenue growth through the remainder of this NFL season and beyond. This growth is a function of the continued evolution and maturity of the U.S. market, but equally, it's driven by an improving set of in-play betting products. Our sportsbook partners have done an excellent job of offering a much wider range of in-play betting markets this year, and we are realizing the direct benefits of that. To add to this, we are empowering more in-play betting volume through the continued distribution of BetVision, which is now available on nearly every major sportsbook in the U.S. and continuing to drive more viewership, increased in-play betting and more engagement overall. For instance, through the first 6 weeks of the NFL season, we have seen a 35% increase in the number of unique devices streaming NFL on BetVision. Additionally, we've seen a 25% increase in the average time spent on BetVision per device. So we aren't just seeing growth in the overall numbers, but also growth in the actual time spent interacting with the platform. This, as you know, is critical for the integration of our advertising solutions into the BetVision product, which I will touch upon shortly. And most importantly is that BetVision continues to be a consistent enabler of greater in-play betting, which represented 74% of total handle through the BetVision platform so far this season. And within the last 6 months, we have launched BetVision for soccer and basketball, meaning that we are now providing over 23,000 events per year, more than 200 global competitions through BetVision, representing a rapid expansion of the product. As a result of this expansion, the number of sportsbook customers utilizing BetVision has exploded. This time last year, we had 6 Sportsbook customers integrated with BetVision. As of today, that number has grown to over 100 Sportsbooks, representing more than 350 brands. This kind of growth in just 1 year demonstrates our scale and distribution. So BetVision continues to drive more engagement in in-play wagering, which compounds our Betting revenue growth. And as we have proven consistently, our Betting revenue growth continues to exceed the growth of the overall market. This was the case again in Q3 with the growth of our Betting revenue nearly doubling the growth of our U.S. GGR. Now as it relates to BetVision, this increasing engagement is also enabling opportunities in Media, both as a source of audience information and as a source of unique advertising inventory, each of which makes our advertising services unique in the market. As such, our Media business was the largest contributor this quarter with revenue increasing nearly 90% year-on-year to $42 million. I'll pause for a moment to let that register. $42 million marks a new quarterly record of Media revenue in absolute terms and 89% growth is our strongest year-on-year increase since Q1 2022, the quarter of our first Super Bowl for perspective. When we raised our guidance last quarter, we expected 50% to 60% revenue growth based on minimum commitments. So we are happy to see that level of spend in the quarter exceed even our own expectations. I want to take a moment to quickly remind you of what makes our advertising platform unique. We understand sports better than anyone. We know sports fans better than anyone and we are leveraging our technology to create the next generation of fan experiences. So these are 3 distinct factors that differentiate us and we strengthened each of these even further over the last few months. The first is live sports data. We understand the exact moment of a heightened fan engagement and emotion and use real-time data to trigger advertising content, improve campaign pacing and inform bid optimization strategies, all leading to better return on investment for our customers. The second is audience data, our understanding of who the fans are. We have several sources of first-party data and now we've acquired Sports Innovation Lab, which brings an even deeper understanding through their proprietary fan graph, which is built on real spending patterns compiled from billions of transactional data points. When combined with our league relationships, existing data sets and media buying platform, we can reach fans with even greater precision and at exactly the right moments, generating a higher return for our advertising customers. Third is our unique inventory. We're creating new ways for brands to reach sports fans that can only be executed through Genius Sports. Last quarter, we mentioned new inventory that now exists on BetVision and how quickly that, that was monetized. Our latest example of new and unique inventory was seen on FanDuel Sports Network for select WNBA games. We delivered broadcast augmentations to showcase next-gen stats such as real-time short probabilities, 3-point distances and more. We transformed these augmentations into high-impact sponsorship opportunities, empowering brands like Shopify, NBA 2K and Point3 to own these key moments of the game, fully integrated live on the broadcast. This has been highly successful for broadcasters and advertisers alike, so we expect more of this to come. So we are continuously improving each of the factors that make us unique and we have built the most comprehensive real-time fan activation platform in the industry. Our Media revenue growth this quarter is evidence of the progress that we've made. As always, our Media revenue is driven by two important factors: growth in the number of advertisers and increase in total advertising spend. This is exactly why it's important for us to sign deals with advertising agencies because they aggregate a large amount of spend across several individual brands. So our recently signed agency deals, including our new partnership with P&G, are driving significant growth in the Media revenue through the second half of the year. We plan to cover the Media business in more detail at our up-and-coming Investor Day on December 3. But in the meantime, the key takeaway is simple. We have a unique set of sports data, audience data and inventory and that enables us to deliver superior return on ad spend for our partners. We're gaining significant momentum with brands and agencies and remain optimistic about the long-term potential of this business. Before we conclude, I want to briefly address prediction markets, a topic of frequent discussion over the last few months. In an effort to preemptively address questions, let me share our perspective. We are observing the developments around prediction markets carefully. We must always comply with applicable laws and regulatory requirements and we place a great deal of importance on the views of our regulators and commercial partners. As they evolve and mature, prediction markets may provide a meaningful new opportunity for Genius Sports in expanding the addressable market. While these products are nascent, they are evolving rapidly and the need for Genius official league data, marks and logos and integrity solutions will only grow as prediction markets become more sophisticated. This means that we are extremely well placed should we decide to engage. With regard to timing, we are being extremely considered and deliberate in our approach. We will work closely with key stakeholders across the ecosystem, our league partners, regulators, existing customers and indeed, the prediction markets themselves to determine the next steps and we are confident in our ability to capitalize on this opportunity in a responsible and sustainable way if we feel all of the requirements we need to be in place to participate in this market are met. Given the early and evolving nature of this market, we won't be providing additional detail on this call, but I want to be clear, if we are confident that prediction markets will meet our robust regulatory and commercial thresholds, these developments could result in positive developments for Genius Sports and our future growth. And with that, I'd like to officially welcome Bryan Castellani to his first earnings call for Genius. And I'll now turn the call to Bryan to discuss the financial results in more detail.
Bryan Castellani: Thank you, Mark. I'm very happy to be joining Genius at such an exciting moment in the company's journey, and I look forward to working with the analyst and investor community. To pick up where Mark left off, I will also keep my comments relatively brief this morning since we are planning to cover a lot of financial detail in our Investor Day. As you've heard from Mark, we benefited from multiple revenue growth drivers this quarter across both Betting and Media. Even if we take a step back and review our year-to-date position, we are delivering well-balanced growth across each of our product groups and tracking well ahead of our initial expectations to start the year. As you'll see on Slide 14, we are also seeing strong growth from each geographic region globally. As you can imagine, the U.S. is driving most of the growth this year and this quarter in particular, especially given most of our Media revenue is derived in the U.S. But even in our more mature European business, we have still increased our revenue by 19% year-to-date, which speaks to our long-term value creation and growth with sportsbook partners who operate in more mature markets. You'll notice our Group adjusted EBITDA margin was roughly in line with Q3 of 2024 and it's worth quickly touching on a few one-off factors. First, we just secured the official data rights to Serie A and the European Leagues in August. As we outlined last quarter this partnership is built on the broad deployment of our technology platform across Europe, which enabled us to obtain these rights on attractive financial terms. Because rights fees are recognized over the course of the season, we recognized 2 full months of expenses in August and September. However, on the revenue side, a few sportsbook contracts were finalized shortly after the quarter end, resulting in a temporary timing mismatch between expense and revenue recognition. This will naturally resolve in Q4 as the revenue from those contracts are recognized. With that in mind, we have generated strong growth in Group adjusted EBITDA, increasing 32% in Q3 and 65% through the first 9 months. And as it relates to cash, our operating cash flow this quarter was $27 million, demonstrating the seasonality of our cash flow, which typically flips positive in the second half of the calendar year. Taking a step back from the quarter and looking across the full year, we are continuing to demonstrate strong annual top line growth and group adjusted EBITDA margin expansion. We feel confident in the underlying trends across both Betting and Media, as you heard earlier from Mark. In Betting, we're seeing strong product adoption, increased in-play betting and favorable pricing in our fixed contracts, giving us good visibility for approximately 30% growth for the full year. In Media, we're even more optimistic. We started the year expecting full year growth in the low to mid-teens. Last quarter, we raised our growth expectations to 20% and now we expect growth of nearly 30%. As such, we are raising our group revenue guidance from $645 million to $655 million representing 28% growth for the full year. We are also raising our group adjusted EBITDA guidance to $136 million representing 59% growth and 400 basis points of margin expansion for the full year to 21%. This further emphasizes our consistent growth and margin expansion on an annual basis. To conclude, the business is firing on all cylinders. We're continuing to improve our position in the online sports betting industry through expanded content coverage, increased product adoption and favorable commercial terms, enabling durable revenue growth. We're also proving the value of our advertising platform, evidenced by a growing number of unique capabilities and new client wins. This success is reflected in the results we've delivered to date and our raised expectations for the rest of the year. We're looking forward to sharing more detail with you in our upcoming Investor Day on December 3. We'll now conclude our remarks and open the line to Q&A.
Operator: [Operator Instructions] and it looks like our first question today comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group.
Ryan Sigdahl: I want to start on Serie A, European leagues. You mentioned kind of the straight-line expensing delayed revenue rec from a few sportsbooks. One, can you quantify that? And then two, the impact on the quarter that is? And then two, anything you've learned from those two specific contracts now that you've taken them over from the commercial negotiations to working with the leagues to just anything that may have surprised you with either of those?
Mark Locke: Ryan, it's Mark. I'll take those backwards. Well, so on the commercial negotiations, I think the takeaway from some of this is really that the rights market that we -- is changing in a way that's very positive to us. We're sort of seeing the sort of evolution that we've been talking about over the last few years of rights fees coming down in a lot of leagues and giving an opportunity for us to deploy technology and partner in a very meaningful and serious way with the leagues. And the rights deals that we've announced recently are very good examples of that. We've managed to deploy a lot of technology. We've managed to create relationships with those leagues that give us the opportunity to really leverage the technology that we've got, access new markets and deploy a lot of our -- it make a lot of the -- sorry, make some returns on the investment that we've been making over the last few years.
Bryan Castellani: Ryan, what I would add -- it's Bryan. Thanks. I would add just that, as I called out, we contracted those early in the quarter but we have a revenue timing mismatch where it will take us a bit of time to monetize them. And so there's a timing expense impact on that.
Ryan Sigdahl: Are you willing to quantify that?
Bryan Castellani: No.
Ryan Sigdahl: Fair enough. Switching over to the Media segment, nice outperformance in the quarter. It seemed like better on the revenue line than kind of the flow-through to EBITDA. Curious if that was more the legacy, let's call it, programmatic advertising, lower-margin business or if it was kind of FanHub, higher-margin, self-serve DSP and just kind of bifurcating that strength in the quarter and then also the raise in guidance and if there's any difference in that mix in Q4?
Bryan Castellani: Yes. Ryan, it's Bryan again. Just on the margin flow-through, again, we have the rights timing impact there, Serie A and EPFL coming online early in the quarter and we will monetize in Q4. And so that will start to unwind itself a bit. The revenue mix, as you noted, Media was heavily weighted there with strong growth, almost 90%. That flows through at a lower margin than our Betting business but all the trends in Media going the right way and growing that business. And for the full year, while the margin may be a little lower this quarter but it was where we expected, everything performed in line with our expectations. Looking at the full year as well as year-to-date, you have roughly 60% growth on the EBITDA and high 20s on the revenue. So you'll see there year-to-date, there's 460 basis points of margin growth. And for the full year, we're projecting 400. So the quarter really just impacted more by timing and mix.
Operator: And our next question comes from the line of Clark Lampen with BTIG.
William Lampen: Mark, I wanted to go back to growth in the Betting Tech business for a moment. You talked about performance sort of exceeding the U.S. benchmark. Is it possible to contextualize for us as the market is evolving and it's sort of coalescing around you and your next largest competitor sort of on a go-forward basis, is it reasonable to think about sort of growth holding and above market, i.e., 20% to 30% range for the foreseeable future?
Mark Locke: Yes. I mean there's a lot in that. I mean we're seeing a lot of product rollout. As I mentioned in the call, we're running over sort of 20,000 -- I think we're up to about 23,000 events now. So the products that we're putting out into the market are evolving quickly and providing a lot of revenue opportunities. We're sort of seeing this kind of consolidation around the way that we operate the business. We've got our BetVision product going out. The Media is integrated into that, and that's providing us opportunities to compound some of the growth. So we're expecting strong growth over the coming period. I mean, I think we put our long-term targets out 30% margin. We still see that as our North Star. And again, the way that the product rollout is happening at the moment is bang in line with how we've been talking about it over the last few years.
William Lampen: That's helpful. And if I could, just as a quick follow-up, I apologize if I missed it, but did you call out sort of the delta in performance between the sort of 50% to 60% plan and the north of 80% growth that you realized for the Media business. What led to, I guess, sort of more spend materializing in the quarter? Was it customers seeing a better return? Or was this perhaps timing related? Any color you can provide would be helpful.
Mark Locke: Yes. I mean the short answer to that is agencies and strong returns. The products are proving themselves. We're getting the outcomes that we want. And obviously, we've got the agency announcements that we've made. So -- and the combination of both those is driving outsized growth in that sector.
Operator: And our next question comes from the line of Mike Hickey with The Benchmark Company.
Michael Hickey: Mark, Bryan, congrats guys on a great quarter. Welcome, Bryan. Great to hear your voice this morning and seeing you at G2E. Just two quick ones. Mark, just curious on the prediction market here, obviously creating a lot of excitement for the industry. Do you think this could be a driver of legalization across the U.S. and some key states here that have been kind of sticky and not legalizing? And then the follow-up, Mark, would be, do you have any concerns where the prediction markets are competing against some of your partners today that they could take some market share in the near term or long term?
Mark Locke: Yes. I mean sort of to take it backwards and I think we made some pretty direct comments in the prepared remarks that we see on a general principle, anything that expands the TAM and expands the market is a good thing for us. We're well placed and we believe that there's a need for official Genius data, league data, marks and logos, integrity solutions across the Board, and that's only going to grow. So in terms of the prediction markets, we -- frankly, as I said in the prepared comments, we see there is potentially an opportunity which could be very exciting. But again, we keep a very tight eye on regulation. As you know, you follow us for a very long time. We're very focused on making sure that we operate in a highly regulated fashion that we work with regulators and we work with the right people in the market. So at the moment, we're watching it very closely. It's not -- it's a topic of frequent conversation, not only externally but also internally. But at the moment, we feel very well placed. We feel like there could be a large opportunity but we've got to watch the regulatory space and how that's evolving over time.
Michael Hickey: Mark, I guess a quick follow-up. Just on the integrity piece. We're seeing a lot of issues here, obviously, NBA, UFC and there's some international pieces too. Can you just talk about how the integrity piece of your business and how vital you think it is to the ecosystem?
Mark Locke: Yes. I mean it's how we entered the market in the U.S. If you remember all those years ago, we sort of led with the focus around integrity. And again, it sort of comes down to the concept of official data, the thing we've been talking about for many years. It's increasingly important as we're seeing that the operators and the market coalesces around one focus around official data, one source of truth and making sure there's full transparency in the market. So there's nothing particularly new here from our point of view. Again, we came to market in the late teens of 2000 with an integrity product that was focusing on making sure that there was real transparency and real understanding of what the original results are and how the markets are working. And again, we're just seeing the evolution of that coming through in the market as we predicted.
Operator: And our next question comes from the line of Bernie McTernan with Needham & Company.
Bernard McTernan: Just want to ask, I mean, kind of a real-time question, but with the ESPN blackout on YouTube TV and Monday Night Football, was that helpful for BetVision viewership? And if so, any tactics that you or your sportsbook partners could deploy to make sure the consumers come back after the blackout or stay with you guys -- stay with BetVision after the blackout is over?
Mark Locke: Yes. I mean, look, I mean, not to comment specifically on that but I think the overall point is around the growth of BetVision as you've seen, I think I can't remember which slide number it is. But we've put it out there where the number of sportsbooks has grown. I'm just putting the numbers up. Yes, I think we're up at what we published about 120 BetVision customers and the amount of content that we're putting through it has gone up to north of 20,000 global events. So we're seeing strong growth. We expect that product to continue to deliver decent viewership. And again, internationally, we're seeing a lot of success there. So we don't know how the viewership and I won't comment on ESPN specifically but we don't know how that's going to affect it. But overall, we think getting content in front of sports punters is good for the sports leagues, increases the number of eyeballs, increases the focus on those competitions and we think it's good for the sportsbooks. And again, we're seeing good results from them.
Bernard McTernan: Yes. Makes a lot of sense. And secondly, can you just talk to the advertiser response to the Sports Innovation Lab data? This seems like a pretty significant upgrade. And so when do you think you'll start to benefit from this data in the identity graph?
Mark Locke: Yes. Well, we're already benefiting from it. It was a company that we've been doing some work with and the integration has been very, very smooth and pretty much immediate. So we knew what we were getting when we bought the business and we're already using it and we're already getting very strong results from doing so and good response from the customers.
Operator: And our next question comes from the line of Jordan Bender with Citizens.
Jordan Bender: Something that's front and center again is kind of the bad game outcomes that are happening across the NFL. As we've learned your business model, there's this understanding that higher gaming margins for the NFL leagues to more upside in your estimates via your variable gaming revenue. So the question is, do you start to think any differently about how you view your upside with respect to variable revenue as we are now in what's the third consecutive month of poor results and what looks like the third consecutive year of bad outcomes in the NFL?
Bryan Castellani: Yes. I would say that we had communicated a while and we did what we said in terms of a round of renegotiations and renewals where we increased our fixed composition. And so while that has decreased the variable component, it still exposes us to the upside and it also gives us more predictability and consistency. And so the week-to-week holds, we don't really feel that variability, that noise. And we obviously like the model we have and we continue to grow our value for the sportsbooks in terms of just the adoption of products and helping them engage more deeply with their audience.
Jordan Bender: Got it. And then just a follow-up. The in-play mix at 30% from what I see in my notes here, that's roughly flat year-over-year. Maybe something more to discuss at your Investor Day but curious if there's any change on how you're thinking about the shift into in-play over time.
Bryan Castellani: Yes. I think it's partly too, we're early in the season here. The parlay mix matters. And so as we've seen around the world, it's likely that will grow over time, but I think we're early in the season here to judge it too finely as staying flat.
Operator: And our next question comes from the line of Jed Kelly with Oppenheimer.
Jed Kelly: Just two. Touching on the Media segment, obviously, good growth, recent acquisitions. Can you just talk about how your go-to-market strategy is evolving with your sales force? And then following up on Jordan's questions around the 30% live Betting mix. Are you seeing more better start to go into the higher-margin products such as TV props? We've seen the sportsbooks push that. So is some of this that they're just going into higher GGR products, which is actually a benefit for you guys?
Mark Locke: So the answer to the first question is the go-to-market strategy is pretty much in line with what we've been saying for a while. Our focus is agencies. Our focus is deploying the product through them and the acquisition of large brands and proving value through the initial campaigns that we run and making sure we're getting results and it's all coming through. And again, it was touched on the last questions, SILs have really helped a lot with that. We're getting strong results off the back of that. So we expect our relationships with our agencies to continue to grow and we'll touch upon that in the upcoming Investor Day.
Bryan Castellani: On the in-play, as we said, overall, we're seeing that roughly flat. What I would say, and we've called it out in the slides, is that in BetVision, where you might say that is a deeper fan engagement, that in-play mix is closer to 70%, 75%. So we do see that the deeper they go, the more in-play there is. So I hope that helps.
Operator: And our next question comes from the line of Steve Pizzella with Deutsche Bank.
Steven Pizzella: Just going back to the advertising business. I believe you mentioned increased spend in the quarter -- for the quarter, driving the growth above your expectations. Can you talk about how much visibility you have into the Media business versus the shorter term in the quarter demand?
Bryan Castellani: Yes. We -- again, there, our business continues to grow ahead of our expectations this quarter. As I called out in my remarks, we started in the teens, went to 20%. Now we're projecting almost 30% for the year. Things like the Sports Innovation Lab acquisition give us more data and deeper insights. And we're currently working on with our new agencies and partners on just annual planning and things like World Cup. And so we look forward to talking more about it at Investor Day.
Steven Pizzella: Okay. And then can you just help us how we should think about free cash flow in the fourth quarter?
Bryan Castellani: Yes. On free cash, we had a strong 2024 with $82 million in operating cash. And a big piece of this is going to be a couple of things in terms of discretionarily where we might invest as well as you have some timing of rights as I mentioned earlier. And then also, we do have, and we've called it out, there is some nonrecurring one-off litigation expenses. So on -- when you look at it organically, we expect it up to be strongly. And so the back half of the year is typically where our cash flow flips positive and strong.
Operator: And our next question comes from the line of Barry Jonas with Truist.
Barry Jonas: I just wanted to follow up on an earlier question. I think we -- relative to the NBA scandal going on, I think we all understand potential upside with integrity solutions and the power of official data. But can you help frame for us any risks around wider bet type restrictions like perhaps limiting player props or micro betting?
Mark Locke: Yes. I mean I think the answer still stands, to be honest with you. We've seen this quite a lot in Europe and we've sort of been through a sort of cycle of this in -- especially in the U.K. And I think the focus really does come down to official data and making sure that the leagues are well plugged in and the regulators are -- have good visibility of how the markets are evolving in respect to official data. So we don't really see particular risks around that as long as the market continues to evolve hand-in-hand with the sports leagues to protect the consumer.
Barry Jonas: Great. That's helpful. And then Bryan, congrats on the new role. I didn't have a chance to meet you at G2E, but I was just curious if you could spend a minute talking about how you'll approach the role with any new lenses and how you think your background can most help add value here.
Bryan Castellani: Yes. Thanks. I hate to turn the call into about me. But listen, I come from a long background in sports, media and entertainment. And what we're doing here at Genius is exciting. And I think for me, Genius is at a really interesting point where our scale and our distribution continues to grow very well. And I have, of course, been focused on driving -- continuing to increase the top line, especially the EBITDA and cash flow and also continue to help and be continued good stewards of capital. And I think you've seen us allocate capital well and set high standards for when we spend it, where we spend it and with whom we spend it.
Operator: And our next questions come from the line of Eric Handler with ROTH Capital.
Eric Handler: I'm curious, as the NFL continues to expand internationally, have gains into new markets this year, are you seeing any impact on bets being made overseas with the NFL?
Mark Locke: Yes. Yes, we're seeing the NFL a real success internationally. I mean you saw, I think, Flutter announced their news with the NFL on an international basis. I think it's the third most bet on sport with Paddy Power. So they're making real traction, and it's certainly piquing the interest of the players in the European market.
Eric Handler: Okay. And then I know it's still very early, but I wonder if you have any sort of early insights on BetVision with your new soccer and basketball rollouts.
Mark Locke: Yes. I mean, I think the initial indication is we've got, I think, over 100 customers that have taken it now. So the growth has been extremely strong and we're seeing good results and getting good feedback from that. The addition of new events is interesting. I mean, I think most people think about it from only the sportsbooks point of view. But one of the things that's probably a lens that's interesting to think about, I guess, is if you're a sports league, what you're looking for as you look at the distribution, you want people and you want engaged players to be watching your game in order to distribute your sport and make it more well known. And I think that in today's world where the way that sports consumed is changing so much. You've got short-form content, my kids watch sport in a very different way to the way that I used to watch sport. I think that this product is a really helpful thing for the leagues which is why they're so supportive of it. The other thing, I guess, that's happening is just the way that the advertising market is changing. The advertisers want content that's -- sorry, want spots that are driven by high emotion. Our technologies with the fact that we've managed to teach the machines to understand the game, and therefore, we can highlight those moments of high emotion, which end up getting high returns for the advertisers. So putting a brand logo up as a gold score or something very, very relevant to that individual fan happens on the event. We were able to do that now. And we're seeing very, very strong results from that. Again, it's one of the things that I think is piquing the advertisers and certainly the agency's interest in helping to drive the Media business growth.
Operator: And our next questions come from the line of Josh Nichols with B. Riley Financial.
Josh Nichols: Real quick, I just want to touch on the gross margin front. I understand you had some additional expenses in 2Q with the revenue coming in -- or sorry, in 3Q with the revenue coming in, in 4Q. With that in mind, just how should we think about the margin profile for 4Q? Do you expect that to be back up to be up year-over-year in the fourth quarter, given you have a normalization?
Bryan Castellani: Josh, I mean, we've called out where we expect to land for the year at $136 million against the $655 million and roughly 20% margin and up 400 bps year-to-year. And in terms of -- if you were looking at the cost of sales, some of that has to do with just increased rights costs in there.
Josh Nichols: That makes sense. And then last question, you'll probably touch on a little bit more detail at the upcoming Investor Day. But if you look like the Media business now, you've taken the growth expectations up there to like 30% this year. And you've mentioned previously that you thought the company as a whole was able to deliver 20% plus growth for multiple years. Fair to assume, not just looking at this year but a little bit beyond that, that you would expect the Media business, given the traction you're seeing to grow at above that pace for at least the foreseeable future?
Bryan Castellani: Yes. And we'll talk about this more at Investor Day. As I said earlier, I mean, it is U.S.-centric in that the U.S -- the U.S. and particularly in the back half of the year, the NFL drives a big component. And so strong growth this year, and we're working on that annual planning and how the calendar next year will look. And so we'll talk about that more at Investor Day.
Operator: And our next questions come from the line of Chad Beynon with Macquarie.
Samir Ghafir: This is Sam on for Chad. Mark, last quarter, you mentioned that a big focus for the company was on trying to create more NFL ad inventory for your partners. Just curious now that we're a couple of months into the season, if there are any updates or new plans on that front for this NFL season or for the next?
Mark Locke: Yes. I mean we've managed to do that and we've sold it out actually. It's all sold out. So that's a pretty good place to be. It gives us opportunity to create more inventory going forward as well since we can evolve the product sets as they go. And as you'll have seen, again, I don't have the slide number but the slide entitled New Inventory creating more ways for brands to reach sports fans, I think, is a really good example of that.
Samir Ghafir: And then bigger picture question. I wanted to ask about the 30% margin target. It seems like the growth for the company keeps getting better. So as a company, how are you guys thinking about the balance of growth versus profitability and the time line to reach that target?
Bryan Castellani: Again, I mean, we will provide a multiyear view at Investor Day. This year, we're adding 400 bps and we continue to believe that our margins will rise over the next few years and achieve -- I don't want to get too far ahead on future guidance but we remain optimistic about what we said, where we're going, and we're excited for December 3 Investor Day to talk more about it.
Mark Locke: Yes. I mean there's sort of two main focuses. We've got our North Star out there at 30% margin, which we're still targeting and feel very good about. And we're focusing increasingly and certainly will in '26 on cash flow conversion and increasing the cash flow from the business. So we've had a good couple of years on that front and we are hyper focused on that. And again, it's one of the reasons I'm so excited to have Bryan join us to focus on driving that.
Operator: And our final questions today come from the line of Greg Gibas with Northland Securities.
Gregory Gibas: Congrats on the quarter. Similar to what you accomplished with ESPN BET to, I guess, expand to the full suite of BetVision sports coverage, could you maybe discuss the opportunity with your broader sportsbook customers that maybe don't use or use it for perhaps just the NFL? I guess just kind of how underpenetrated you would say that, that product is relative to the full adoption opportunity?
Mark Locke: Look, they're early days. The products are being distributed widely. We've got a good uptake in the sportsbooks, as we mentioned earlier but there's still an awful long way to go. I think the thing that I would focus on if I renew your shoes is the level of results that we're getting. Obviously, the sportsbooks as we said for a very long time, we want to be shifting people to in-play betting, higher margins, better returns, better engagement from the fans point of view. And from our point of view, we get a much higher return on our -- through the commercial deals that we have. I remind you, going back over the years, it's 3x the amount. So there's a strong focus in the business on getting that distribution and frankly, a strong focus from the sportsbooks as well because it benefits both of us. So from that point of view, we think that we're still very early in the journey and we expect that product and the adoption of that to be very strong over the coming years.
Gregory Gibas: Got it. Great. And I guess for clarification and I apologize if you already addressed but regarding the temporary timing mismatch between rev rec and the increased cost basis from rights, fair to say no impact expected or carry over into Q4?
Bryan Castellani: That's right. It should start to unwind as we -- for Serie A and EPFL in particular, we start to monetize those deals.
Operator: All right. Thanks for the questions, Greg. And that does conclude our Q&A session, and it also concludes today's earnings call. Thank you so much for joining and you may now disconnect. Have a great day, everyone.